Operator: Good day, ladies and gentlemen and welcome to the Tandy Leather Factory Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, there will be a question-and-answer session and instruction will follow at that time. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the conference over to Shannon Greene, Chief Financial Officer. Ma'am, you may begin.
Shannon Greene: Thank you. Good afternoon, everyone and thank you for joining us for our third quarter 2015 earnings conference call. I am Shannon Greene, Chief Financial Officer of Tandy Leather Factory, and I am joined by Jon Thompson, our Chief Executive Officer, and Mark Angus, our Senior Vice President. Before I begin, I call your attention to the fact that these conversations will contain forward-looking statements to the extent we speak today of any future event or make other forward-looking statements. You are reminded of the inherent uncertainties of looking into the future that there are risks to Tandy Leather Factory that could prevent these events from occurring in a manner foreseen. Please see our Form 10-K for 2014 and subsequent forms 10-Q for a discussion of some of these risks. Copies of these documents are available through the SEC's EDGAR system and from our Investor Relations office. Also, statements made today by us as Management of Tandy Leather Factory are made as of this moment and we disclaim any duty to the update of those statements. Our third quarter results from not what we've grown accustomed to in recent years, did not catch up by surprise. It has been a tough year on a lot of front. But even despite the quarterly results, we're right on target with our financial projections. As of September 30, compare to last year our sales were up approximately 2%, while earnings were down 23%. Gross profit margin is down but is still comfortably over 60%. We ended the quarter with $7.2 million in cash and $35 million in inventory. We paid off our debt on our corporate headquarters approximately 2.5 years early and incurred a $200,000 prepayment penalty as a result, that penalty, which was recorded in the third quarter was essentially the same as the interest, we would have paid for the remainder of the term. We also initiated a stock repurchase plan in August and we have borrowed $3.7 million this quarter, the proceeds of which were used to repurchase approximately 5% of our stock. Now for the number from today's press release. Our third quarter consolidated sales decreased $0.3% or $61,000. Current quarter sales were $19.4 million compared to last year's third quarter sales of $19.4 million. Also, leather craft sales were $6.1 million this quarter down 3% from $6.3 million in the third quarter last year. The same store posted a 1% decrease reporting sales of $6.1 million compared to $6.2 million in the third quarter 2014. Our retail leather craft division reported sales of $12.3 million, a 2% increase over last year's third quarter sales of $12.1 million. The same store posted a 0.6% sales increase and the two new stores opened after October last year added quarterly sales of $193,000. Our international leather craft segment, which as of September 30 consisted of three stores located outside of North America, reported sales of $913,000 for the quarter compared to $1.1 million in last year's third quarter down 13%. All three stores have been opened for more than year, so the same store sales losses also 13%. Our international operations continue to be negatively impacted by the currency exchange rate. It's the current rate were the same as a year ago, this segment would have reported a 2% sales gain rather than a 13% sales decline. Consolidated gross profit margin for the quarter was 61.1% down from last year's third quarter margin of 62.7%. Wholesale leathercraft's gross profit margin was 68.3%, a very slight improvement over last year's third quarter margin of 68.1%. Retail leathercraft's gross profit margin was 57.7% compared to 59.4% in last year's third quarter. International Leathercraft's gross profit margin for the third quarter was 58.6% down from 68.6% last year. Consolidated operating expenses were $10 million or 51.5% of sales in the current quarter compared to $9.7 million or 50.1% of sales last year, an increase of $255,000 or 3%. Wholesale Leathercraft reported operating expenses totaling 57.2% of its sales versus 52.3% last year. Retail Leathercraft reported operating expenses totaling 48.6% of its sales compared to 48.9% last year and International Leathercraft's operating expenses for the quarter were 52.2% of its sales compared to 51% last year. Income from operations was $1.9 million for the quarter down 24% or $597,000 compared to the third quarter 2014's operating income of $2.5 million. On a year-to-date basis, consolidated sales increased 2%, 2015 sales were $59.9 million compared to 2014 sales of $58.9 million. Wholesale Leathercraft sales were $19.2 million this year, down $341,000 or 2% from last year's sales of $19.6 million. The decrease is the result of a 2% same-store sales gain with sales this year of $19.2 million compared to $18.8 million last year offset by a 100% sales decline for national account, no sales this year versus $349,000 in 2014. As a reminder, sales to national account customers ended in April of 2014. Our Retail Leathercraft division reported sales of $38 million, a 5% gain over last year's sales of $36.2 million. Sales from the three new stores were $908,000 so far this year versus $225,000 last year. The 79 comparable stores posted sales of $37.1 million, an increase of 3% compared to last year's sales of $36 million. Our International Leathercraft segment reported sales of $2.7 million so far this year compared to $3.1 million last year, a decline of 14%. As was the case for the third quarter, the negative impact of the currency exchange rate this year compared to a year ago was significant. With consistent exchange rate, this segment will be reporting 2015 sales matching that of 2014. Consolidated gross profit margin for the year was 62.1%, a decrease from 2014's gross profit margin of 63.9%. Wholesale Leathercraft's gross profit margin was 68% this year, decreasing from 69% last year. Retail Leathercraft's gross profit margin declined from 60.7% last year to 59.3% this year. International Leathercraft's gross profit margin decreased from 63.9% last year to 62.1% this year. Consolidated operating expenses increased $1.1 million or 4% to $30.6 million or 51.2% of sales in the current year compared to $30 million or 50.2% of last year's sales. Wholesale Leathercraft's reported operating expenses totaling 54.5% of its sales compared to 51.6% of sales last year. Retail Leathercraft reported operating expenses totaling 49.1% of its sales currently matching that off 2014. International Leathercraft reported operating expenses totaling 56.1% of its sales this year compared to 53.2% last year. On a consolidated basis, the most significant operating expense increase were in employee compensation benefits, depreciation, advertising and marketing and store rent and utilities. Income from operations was $6.6 million down $1.5 million or 19% compared to 2014. Looking at our balance sheet at September 30, 2015 compared to year end 2014, total assets were down $273,000 and current assets were up down $346,000. Cash increased $3.4 million to $7.2 million at the end of September. Inventory increased $2.2 million. Current liability decreased $1.5 million due to the decrease in short-term debt of $3.7 million, which is the payoff of all of our Chase Bank debt, partially offset by the increase in accounts payable and accrued expenses. A more relevant comparison to balance sheet [indiscernible] September 2015 to September 2014 comparing those, cash is up almost 50%, while inventory is down $4.3 million or 11%. Current liabilities decreased $5.2 million due to the decrease in short-term debt, a $6.2 million which is a payoff of our line of credit. Partially offset by the increase in accounts payables and accrued expenses. Our current ratio is 5.2 EBITDA for the first three quarters of 2015 was $7.8 million. There are six Tandy stores with operating losses as of the end of September totaling $85,000. All of our leather factory and international stores are profitable as of September 30th. Few more things before we go to questions. We announced our October sales last week and the news was not great. We are in a much different place this year, than last year. We were fortunate that those opportunity buys will be so much to support gross profit margins were in abundant last year. And while we were concerned about having too much inventory at this time, a year ago that record inventory level turned into record sales in the fourth quarter. Looking at this year, we have been trying to catch up the last year's inventory levels all year and it's clear that it's not going to happen. We're into the fourth quarter with 10% less inventory than we had at this time last year. That coupled with the fact, the sales have been less than stellar all year, suggest that our fourth quarter sales aren't going to be setting any new records. There is no way to know, if this year's sales would be better have we had the same level of inventory investment as last year. It's difficult to say with any certainty what's going on in the market overall, but based on the feedback we're getting from our customers. There's a strong sense of cautiousness in their spending and that has nothing to do with how much inventory we have or don't have on our sales. Finally, I know I sound like a broken record. But our international operation is not doing as poorly as it appears on paper. The sales decline compared to a year ago, is the result of the currency exchange rate fluctuation this year versus last year. With that said, we raised selling prices in our international markets on October 1 to compensate for change in exchange rate and expecting to counter some resistance from customers at least temporarily. On a positive note, we opened our second store in the UK last month. The new store is located in Manchester and is off to a great start. It'll focus on the continued development to customers in North England, Scotland and Ireland while the other UK store located in North Hampton will focus on the Southern half of England. We will be glad to see 2015 come to an end, this has been a challenging year for us on many front. However, even with those challenges there is no question that we will be profitable just not quite as possible as last year. That concludes our prepared remarks. Operator, we're now ready to take questions.
Operator: [Operator Instructions] our first question is from Mike Nery with Nery Asset Management. You may begin.
Mike Nery: Couple questions. So what were shares out at the end of the quarter and what is the rate on the line of credit?
Shannon Greene: Shares outstanding at the end of the quarter were 9.7 million, I think 9,753,000 actually and you're talking interest rate?
Mike Nery: Yes.
Shannon Greene: LIBOR plus 185. So about 2.05 at this point.
Mike Nery: 2.05, okay great. Let me just add, I think its great move to buy back stock. You've a very strong balance sheet, your stock is cheap and you're doing it in a low interest rate, so I think it's a good move and I appreciate the fact that you're actually getting some stock done. Can you talk a little bit more about international? Thanks for giving the clarity on the 2% in constant currency basis. When do margins internationally come back to normal given the price increases that we have put through or do they, at these exchange rates?
Shannon Greene: Mike, historically. We opened the first UK store in 2008 and if you look at gross profit margins of that store plus the others that have been added. They're always higher than what we do in the US and Canada and the reason for that, primarily is because we saw a lot more of the non-leather items, all the tools and hardware. They're more so, than we sell the leather. So you know how the product mix works and the gross profit margins that are earned on the non-leather stuff versus leather. And as long as they're ratio, their sales mix is as heavily weighted toward non-leather as it is, their margins are always going to be higher than what we're normally used to in the US and Canada, but it's strictly a matter of how much leather they sell in relationship to the tools and the hardware that they sell, the non-leather stuff.
Mike Nery: Right, but so when do they get back to more normal operating margins? You mentioned the price increase October 1, when do we get to the point where these are generating nice operating profit for us again?
Shannon Greene: So they are, the stores are profitable. We're obviously spending an awful lot of money on advertising doing trade shows and heavy investment there because even in having a store that opened in 2008, still a new market. I think you'll see some improvement from October 1. One of the things that, that we were probably slow to do based on currency exchange rate is, change price in our international market throughout the year. And so the increases that occurred on October 1, were fairly significant especially for us. And I'll be real honest, there is some sticker shock on the part of the customers because the increase was a significant as it was, instead of adjusting prices that all along, we held them sacrificed the margin as a result and then, but decided that the rates weren't getting any better any time soon, so we made those adjustments on October 1. There's going to be some sticker shock, but customers will come around. We'll do what we can to continue to work with them as they get used to it and then I think you will see things getting better in terms of margins because now the rates, the prices that we're charging over there are more in line with, what they really should be based on converting the US Dollar, our US Dollar prices to their local currency.
Mike Nery: So this year, international I think is average about 5% operating margin, last year was 13%. So next year we should start seeing more normal operating margins. Maybe not a 13% yet, but significantly better than where they are.
Shannon Greene: I think so.
Mike Nery: Okay and then can you talk about a little about margins in the US and what we're doing to improve or maintain margins. You've done a good job in the past at cutting cost, where you need to and I just want to find out what your thoughts and plans for next year?
Mark Angus: Hi, Mike its Mark. Well, like we've talked before in the past calls. The whole year, we've not seen a lot of those opportunity purchases and opportunity buy at least in leather that we've seen in the past. Although, they're coming through them. We're getting some, we're not getting them in great abundance like we were very fortunate of getting last year. So the hopes are, that those constraints won't be there become the first part of next year. We're seeing an improvement in it. And we're seeing an improvement going into the first and next year. But as per our regular line of merchandise, there is really nothing wrong with that. Everything is good. It basically just boils down to just as opportune buy in that leather field. So if we can see some more of that in greater quantity come on the market and we're out there all the time looking for it, then that's what you're going to see bring those margin back a little bit. Even though, slight drop in that is very little, it's still that is the area in which it's happening from. We know exactly what it is.
Shannon Greene: I'd also add Mike that in terms of expenses, when we analyze what's going on with our expenses. The big increases relative to year ago are, advertising. Well you're not going to see make significant cuts in advertising because if we do that, we guarantee ourselves of sales decline. Employee comp, we're trying to manage the headcount in stores appropriately, so that we have to sufficient staff to work the stores and also be out doing demonstration and trade shows and all of that. So you're seeing an improvement or an increase in employee comp. But again, cutting that means, we either can't do, of course can't do trade shows and be out doing demonstrations etc. because we got to have sufficient people in the stores to cover the stores. So there are couple of, I mean those are probably the two biggest operating expense increases. But those aren't really good areas to cut. So yes, we look at - I mean, we're looking at everything that we can certainly get rid of as far as expenses go, but you know improving the gross profit with strong sales and better gross profit margin, a lot of that would fix itself. The margin you're looking for would be there on an operating margin line. There's not a lot of dollars to cut elsewhere in terms of when we look at expenses compared to where we were a year ago. It's employees and advertising.
Mike Nery: Well, I think 99% of retailers right now would love to down inventory as year-over-year so, I know you guys are missing some of the great deals in the buys, your balance sheet is in very good shape. So thanks very much.
Operator: Thank you. [Operator Instructions] [Indiscernible] with [indiscernible] Road Capital.
Unidentified Analyst: Had a few questions, to start with on accounting issues. If you provide discounts or incentive, does any of that flow to marketing or does it lower your gross margin?
Shannon Greene: No it lowers. It's a debit to sales, discount for affecting sales it's not down below.
Unidentified Analyst: Okay, thanks. And then one thing I'm trying to do is figure out, how your profitability would look if you were LIFO reporter and I was hoping you could give me the tools to do that. So I guess the first question is, the IMF publishes rawhide price data, is that a decent proxy for how much it costs you to buy leather?
Mark Angus: That report?
Shannon Greene: Yes.
Mark Angus: Not really because again, when we look at buying leather we're actually getting the price from the tanneries including whatever it cost them to produce the leather. So normally that's about the only thing you're saving when you switch countries or buy from different countries as the labor. Pretty much everything is equal to everybody, say for instance. If they're buying US hide in China or Mexico or South American and the tanning the only difference because the chemicals cost the same, is the labor to produce them and the freight [ph], I think.
Unidentified Analyst: I see, okay. So in the last few months, have you been in inflationary environment on leather prices or deflationary or, what's that been like.
Mark Angus: Well, we've seen a quite a run up in hide prices. It's probably been the highest, it's been 30 years. But you now we're seeing it go the other way and it happens every time. The market runs up and then it will run out of steam when people stop buying and it will drop back the other way and we're seeing drops of 25% to 35%. So it happens every time, I mean for us it means you're selling hides now or hand leather at maybe lower prices. But the thing is, that it usually brings more people back to the market and maybe dropped out before. You're just not making as many gross profit dollars per hide as you were before.
Unidentified Analyst: Yes, that makes sense.
Mark Angus: More volume and luckily for us and you know they kind of go hand-in-hand with market [ph] would thing. When you get more people back in the market, then it also becomes odd lots on the market. So it kind of helps us in other way. If more people come back and start producing them, then we'll probably buy more odd lots, that we can get jump into that will also help our sales.
Unidentified Analyst: Yes, that makes sense. And then, what portion of your cost of goods sold is the raw leather?
Shannon Greene: You're talking hides. I mean, you're talking finished leather right, when you saw raw leather.
Unidentified Analyst: Yes.
Shannon Greene: So I was - looked that up. We do, all right so listen close 2015, of our sales mix, we're doing 41% of our sales in leather, 59% as a non-leather for 2015 year-to-date. Cost of goods, leather makes up 57% of our cost to goods, while the non-leather cost of goods at 23%. So 41% accounts for 57% of our cost of goods.
Unidentified Analyst: Yes, that's helpful. Okay. And then, can you give me sort of a rough sense of how much of the impact you would have over the last 12 months, if you were LIFO reported to your net income?
Shannon Greene: I don't know the, I mean prices haven't changed that drastically. So I don't think at any given point that I would have a huge impact. I mean, maybe, I mean I'm kind of guessing here but maybe a $0.01 or $0.02 on EPS but maybe. But it wouldn't be any more than that. You don't see big adjustments, big price points. No matter what's going on, we either buy extra when we think prices are going up as far as leather goes or we hold off and say go the other way and then on the non-leather, there is the tools and hardware and all that, those prices don't change by any even measurable amount. $0.01 or $0.02 on something on an item, but not enough to have any significant impact, I don't hint.
Unidentified Analyst: Okay, I think I'll jump back in the line. In case other people have questions. So thanks.
Operator: Thank you. I'm currently showing no further questions at this time. I would like to turn the call back over to Shannon Greene for closing remarks.
Shannon Greene: Very good. On behalf on Jon Thompson, Mark Angus and myself. Thank you for your participation in today's call. Have a great day.
Operator: Ladies and gentlemen. This concludes today's conference. Thanks for your participation and have a wonderful day.